Operator: Good morning, ladies and gentlemen. Welcome to the Murphy Oil Corporation Third Quarter 2023 Earnings Conference Call and Webcast. [Operator Instructions] I would now like to turn the conference over to Kelly Whitley, Vice President, Investor Relations and Communications. Please go ahead.
Kelly Whitley: Thank you, operator. Good morning, everyone, and thank you for joining us on our third quarter earnings call today. Joining us is Roger Jenkins, President and Chief Executive Officer; along with Tom Mireles, Executive Vice President and Chief Financial Officer; and Eric Hambly, Executive Vice President, Operations. Please refer to the informational slides we placed on the Investor Relations section of our website as you follow along with our webcast today. Throughout today's call, production numbers, reserves and financial amounts are adjusted to exclude non-controlling interest in the Gulf of Mexico. Please keep in mind that some of the comments made during this call will be considered forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. As such, no assurances can be given that these events will occur or that the projections will be attained. A variety of factors exist that may cause actual results to differ. For further discussions of risk factors, please see Murphy's 2022 annual report on Form 10-K on file with the SEC. Murphy takes no duty to publicly update or revise any forward-looking statements. I will now turn the call over to Roger Jenkins.
Roger Jenkins: Thank you, Kelly. Good morning, everyone, and thank you for listening in to our call today. As we turn to slide 3, I'd like to highlight Murphy's strong value proposition. We're a long-term sustainable company with decades of future drilling in our onshore business and significant running room offshore with exploration upside and low carbon intensity. Offshore Murphy holds a competitive advantage with our execution capabilities. Murphy continues to generate strong cash flow. We've been able to more than double our long-standing dividend since 2021 as well as significantly reduced debt. Since the end of 2020, we reduced debt by approximately $1.4 billion and paid more than $330 million of dividends. And within the past quarter, we purchased $75 million of stock, all while maintaining our cash balances and replacing reserves. As we move to slide 4, Murphy has remained focused on our priorities to delever, execute, explore and return. I'm excited to say we advanced Murphy 2.0 of our capital allocation framework in the third quarter through share repurchases and redemption of $249 million of 2025 senior notes, and we remain on track to achieve our $500 million debt reduction goal for the year. Third quarter production of 202,000 barrels equivalent per day, again exceeded the upper end of our guidance range with oil production averaging 103,000 barrels per day. Our 2023 onshore program delivered strong well performance improvements with over 50% of our new wells, achieving all-time highs well performance for their respective areas. I'm pleased to announce today that our Board has sanctioned the Lac Da Vang field development project in Block 15 105, Vitenam. The first oil forecast in 2026. Also during the quarter, as previously announced, Murphy closed the divestiture of certain noncore assets in Canada and a portion of those proceeds redirected to fund our new country entry into Cote d'Ivoire and advance our Lac Da Vang field development project. We have since commenced seismic reprocessing projects in Cote d'Ivoire and the Gulf, and our rig will resume drilling the Murphy-operated OSO-1 number one exploration well in the Gulf of Mexico in the very near term. In the third quarter, we repurchased $75 million or 1.7 million shares outstanding at an average price of $44.53 per share. Additionally, our Board approved a $300 million increase in our share repurchase authorization today, and we have $525 million remaining. I look forward to further progressing through Murphy 2.0 as we continue delevering -- delivering rather shareholder returns and reducing debt. On slide five, Murphy produced an average of 202,000 barrels equivalent per day with 51% oil in the quarter. Production was nearly 10,000 barrels equivalent per day, above the midpoint of our guidance due to a combination of stronger onshore well performance, lower realized Tupper Montney royalty rates in the absence of any hurricane events in the Gulf of Mexico. In the quarter, we realized $82.58 per barrel for our oil, while our realized NGL price was just over $21 and natural gas was just over $2 per 1,000 cubic feet. Strong oil pricing in addition to our production outperformance led to Murphy generating $900 million of revenue in the quarter, excluding NCI.\ I'll now turn the call over to our CFO, Tom Mireles, for an update on our financial results.
Tom Mireles: Thank you, Roger, and good morning, everyone. Slide six. Murphy reported $255 million of net income or $1.63 per diluted share in the third quarter and adjusted net income of $249 million or $1.59 per diluted share. Operations remained strong in the quarter, resulting in adjusted EBITDA of $597 million, with minimal accrued CapEx of $162 million, excluding noncontrolling interest. Slide seven. As Roger said earlier, we are excited to have executed on Murphy 2.0 of our capital allocation framework. During the quarter, we redeemed $249 million of debt and repurchased $75 million of shares outstanding, as well as paid our quarterly dividend of $0.275 per share. Overall, we returned 106% of our adjusted free cash flow in the third quarter. To further support the framework, our Board has approved an additional $300 million share repurchase program, and we currently have $525 million remaining under that total authorization. As of September 30, we had total debt of $1.6 billion, so we will continue to allocate adjusted free cash flow funds as prescribed in Murphy 2.0, until we reach Murphy 3.0 with $1 billion of total debt. With that, I'll hand the call over to Eric Hambly, our Executive Vice President of Operations, to discuss our operational update.
Eric Hambly: Thank you, Tom, and good morning, everyone. Slide nine. Murphy’s Eagle Ford Shale assets produced 38,000 barrels of oil equivalent per day with 88% liquids in the third quarter, exceeding guidance by 1,200 barrels of oil equivalent per day. As planned, we brought online seven operated wells with four wells in Catarina and 3 wells in Tilden. Three non-operated Tilden wells are planned for the fourth quarter. We've seen great results from our wells this year, particularly as we return to the Tilden area for the first time, since 2019 and applied the revised completion design. Overall, more than 40% of our 2023 new wells are top 30 performers in our portfolio on a 100 to 180-day cumulative oil basis. In particular, the Jambers wells in Tilden that came on line midyear continue to significantly outperform at twice our predrill forecast, while our third quarter wells have produced in line with plan after adjusting for lateral length. Slide 10. In the Tupper Montney, Murphy achieved record quarterly production of 414 million cubic feet per day in the third quarter. There was no new well activity as all 2023 planned wells came online in the first half of the year. We continue to see record production levels, and Murphy was recently highlighted as having two of the top 10 and four of the top 15 natural gas wells in all of Canada in an external report. Internally, eight wells had each achieved an average IP30 of more than 18 million cubic feet per day in 2022 and 2023 and two wells have each achieved a new company record IP30 of more than 21 million cubic feet per day. Additionally, 80% of our 2023 wells are top 15 all-time performers in Murphy history based on their IP30s. Needless to say, we are excited about the results we have achieved from our revised completion design in this area. Slide 11. Murphy produced 5,000 barrels of oil equivalent per day, with 67% liquids in the third quarter. As announced in September, we closed the divestiture of a non-core portion of our operated Kaybob Duvernay asset as well as our entire non-operated position in Placid Montney for $103 million in net cash proceeds. The divested assets produced approximately 1,700 barrels of oil equivalent per day with 39% oil. Post close, we maintained nearly 500 future locations in the Kaybob Duvernay and are able to maintain base production through various optimization initiatives. Slide 13. We produced 89,000 barrels of oil equivalent per day with 81% oil across our offshore assets in the third quarter. Our operated development and tieback projects continue to progress with the new Dalmatian #1 well in DeSoto Canyon 90 now online and drilling underway for the Marmalard #3 well in Mississippi Canyon 255, ahead of first oil in the first quarter of 2024. The two nonoperated Lucious wells are moving forward and are forecast to come online in mid-2024. Our non-operated major projects are also advancing with the Terranova Asset Life Extension project anticipated to return to production by year-end and the St. Malo Waterflood project working toward first water injection in 2024. Slide 14. We have had two mechanical issues occur at separate operated fields in the Gulf of Mexico this year. The Dalmatian #2 well had a problem earlier this year with the subsurface safety valve, while the Neidermeyer #1 well encountered mechanical issues in the third quarter. We have workovers planned for both wells next year and anticipate the wells will resume production by mid-2024. Additionally, the non-operated Lucious #9 well workover is scheduled for the fourth quarter of 2023 with the well forecast to return to production in first quarter of 2024. The previously disclosed non-operated Kodiak #3 well stimulation and zone addition is scheduled for mid-2024. And with that, I will turn it back to Roger.
Roger Jenkins: Thank you, Eric. On Slide 15, we're pleased to announce today that our Board has sanctioned the loan field development Block 15-1/05 in Vietnam, the first oil forecast in 2026. And the field will be developed in phases through 2029 to ensure capital efficiency targeting 100 million barrels of oil equivalent on an estimated gross recoverable resource basis. Overall, we forecast to fill to achieve gross production of 30,000 to 40,000 barrels equivalent per day or 10,000 to 15,000 barrels equivalent net to Murphy. The field is 96% oil-weighted and is currently receiving a premium to Brent oil pricing in that region. On Slide 16, during the quarter, Murphy reviewing commerciality and field development concepts for the PON discovery Block CI-103, which is appraised with multiple wells by a previous operator. As per the agreement on this light, we committed to submitting a viable field development plan by the end of 2025. We move on to Slide 18 and talk about Vietnam. Look forward to additional upside possibilities that near-field exploration provides us with two planned wells in Vietnam next year. The Lac Da Hong exploration well is located in Block 15-1/05, just to the southwest of our Lac Da Trang field development project. The well will target a mean to upward gross resource potential of 65 million to 135 million barrels of oil equivalent. In Block 15-2/17, we're planning to drill the Hai Su Vang exploration well, which will target a mean to upward gross resource potential of 170 million to 430 million barrels equivalent. These two outstanding prospects will be advantaged by the infrastructure provided by the nearby Lac Da Trang field. On Slide 19, we're excited to have commenced initial work during the third quarter on our newest country entry Côte d’Ivoire, by initiating seismic reprocessing across four of the five blocks. Overall, we look forward to advancing the exploration opportunities in this country. In Slide 20, our long-term Gulf of Mexico business in the near-term, we're moving our rig back on location to resume drilling in the Murphy-operated Oso 1 exploration well in Atwater Valley 138. This well targets mean to upward gross resource potential of 155 million to 320 million barrels of oil equivalent. So, we talk about our guidance, plans and capital on Slide 22. For the fourth quarter, we forecast production of 181,500 million to 189,500 barrels of oil equivalent per day with 51% oil. This range includes 2,000 barrels of oil equivalent per day of planned downtime, primarily onshore. Quarter 4 is impacted by our front-end-weighted capital program that maximizes free cash flow in support of our capital allocation framework. Additionally, our production guidance today includes the loss of production of a well in the [Indiscernible] field, which is producing 4,000 barrels of oil equivalent per day prior to being shut in late in the third quarter. For full year 2023, we're raising our production guidance range to 185,000 to 187,000 barrels of oil equivalent per day, which represents a 3,000 barrels of oil equivalent per day increase in our midpoint. This range is compromised to 53% oil and 59% liquids. Lastly, we are maintaining our accrued CapEx guidance range of $950 million to $1.025 billion, excluding $49 million of acquisition-related costs. On Slide 23, as first announced in August 22, Murphy has a multi-tier capital allocation framework to allow for additional share returns beyond the quarterly base dividend, while advancing toward a long-term debt target of $1 billion. This framework is supported by $525 million remaining on our authorized share repurchase programs. Since we first announced the capital allocation framework, I'm pleased that we have returned an additional $15 million annually to shareholders through quarterly dividend increases of $0.275 per share annualized and purchased $75 million of our own stock as well as paid down nearly $750 million of debt. I look forward to continuing our progress in Murphy 2.0 and further rewarding our long-term shareholders in the quarters to come. On Slide 24. Since disclosing our multiyear plan back in January, we've had tremendously positive events this year through the approval and sanction of the Lac Da Trang field development plan in Vietnam as well as our new country entry in Côte d’Ivoire, including a possible field development there. As we work through our annual capital planning process, we're also reviewing our longer term strategy to incorporate these events, and we will share updates as we normally do in our report in January. However, I can say today that our underlying strategy of maintaining capital discipline and slight production growth so that we may progress our capital allocation framework with delevering and increasing shareholder returns through buybacks remains fully intact. As we close our call today, I'd like to highlight on slide 25 that we're uniquely positioned company with our capital discipline and higher oil prices in the past couple of years. We're well on our way to establishing a pristine balance sheet with approximately $1.4 billion in debt reduction since year-end 2020. Murphy's a significant amount of well locations to support decades of activity in North America onshore in multiple fully delineated basins. Offshore, we're competitively advantaged company. We're adding new development and exploration opportunities internationally while continuing to allocate capital to our long-standing Gulf of Mexico business. Lastly, I like to thank our incredible employees for the great work this quarter and looking forward to another successful quarter to end up the year. With that, we'll end our comments today and take your questions and appreciate it.
Operator: Thank you. And ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] And your first question comes from the line of Bert Barnes from Truist. Your line is open.
Bert Barnes: Hey. Good morning, Roger.
Roger Jenkins: Good morning, Bert.
Bert Barnes: Good to see you and I hope to see at [indiscernible] this year.
Roger Jenkins: Yes.
Bert Barnes: It looks like your Gulf of Mexico volumes kind of helped drive part of that 3Q beat and outperformed your guidance. I was just wondering if you could talk about maybe your future exploration prospects that you have in the field maybe after those so well and maybe if you also plan to participate in future lease sales as well?
Roger Jenkins: Thank you for that question. I really appreciate that about our Gulf business, a real solid part of our company where we've been in this business since 1950. We, of course, will be active in all these sales going forward. We're in the middle of that right now. We are participating primarily next year in two very significant wells in Vietnam now that we have our Vietnam field development plan approved at the LDV field, and these are very large prospects and very nice and lower risk and lower cost wells. While participating in we haven't had our budget finalized, but we're likely -- highly likely to participate in a non-op well with one of our partners in the Gulf, and we're viewing another opportunity on some of our prospects at this time. So we will be active in exploration, active in lease sales, but also we bring to the table a long level of experience working internationally. Murphy is a sought after company to work internationally because we move faster, we -- it's very critical to us where we enter a country, and we bring a competitive advantage and countries want Murphy. And we have two real nice positions now internationally. And so doing really well and well positioned in the Gulf and internationally right now, which is a differentiator for Murphy Oil Corporation. And then thank you for that question.
Bert Barnes: Yes. That's great. Look forward to the updates. And then just the second part, I just wanted to make sure I understood the Murphy 2.0 payout. What percentage did you target in 3Q? And maybe is that supposed to be every quarter or is that more of an annual target for that 25%. And I’ve follow-up. Thanks.
Roger Jenkins: I'm going to let have our CFO, Tom walk you through that, gentlemen.
Tom Mireles: Sure. Thanks, Bert. Yes, we're really excited about actually moving into this phase of our framework and the way we think about it, there is a timing part of this, and there's an execution strategy part of this. And on the timing side, we aren't trying to be precise on a quarter-to-quarter basis. It is more of an annual basis. And that gives us a little bit of flexibility to see if we see any disconnect between our share price and our intrinsic value. So while we generally stay to the framework, you may see some differences there. And it's really -- we focus on this as being an annual target for us.
Tom Mireles: But Bert, one more thing we've got to get this debt down and that we're really focusing in on that $500 million goal and where we are today, I feel real good about that. Just to close out this year, but trying to be down the line on the formula how best we can and go on from there.
Bert Barnes: That makes perfect sense. Thanks, guys.
Operator: Your next question comes from the line of Leo Mariani from ROTH MKM. Your line is open.
Tom Mireles: Good morning, Leo. How you doing?
Leo Mariani: Hey. Good morning. Question on fourth quarter CapEx here. Wanted to see if you could kind of help us out in terms of what the ballpark number should be there in 4Q. And you also talked about this $49 million of acquisition kind of related costs you've had of late. Have those kind of already hit in terms of the balance sheet and the numbers here? Or are those kind of on the come here into 4Q?
Tom Mireles: What was that last part of your question again? The first is CapEx is both up just a second. One more time, Leo, I'm sorry.
Leo Mariani: Yes. You mentioned $49 million of kind of acquisition related costs with some of these new areas where you're entering. Just curious, have those already been incurred? Or are those kind of on the come into the fourth quarter?
Tom Mireles: So those have been behind us primarily. We do have some seismic work that's covered in exploration expense in Cote d'Ivoire pretty much that's over here. So you have the CapEx Eric?
Eric Hambly: CapEx for the fourth quarter ought to come in under $200 million.
Tom Mireles: It maintains our guidance. So we don't have that number right handy with us. It adds up to midpoint of our guidance, and we're in good shape on all that. Our CapEx is lower and we're in really good shape on free cash flow for the fourth quarter.
Roger Jenkins: Yes. Just Leo, just restating, I mean, we're comfortable with the range of CapEx that we've expressed. Obviously, we give a range because we have uncertainty of outcomes primarily in our non-operated business where we have major projects ongoing with fields we don't operate. There's a bit of uncertainty, and that's why we give the CapEx range. But again, we feel really good about our full year CapEx range.
Leo Mariani: Okay. And can you provide a little bit more color in terms of the activity in the fourth quarter? Because I know that a handful of kind of non-op Eagle Ford wells, but it sounds like that's de minimis spending. There's nothing really onshore. So what kind of comprises the bulk of those expenditures here in 4Q?
Roger Jenkins: I have a fair account for you, Leo. Yes. As you pointed out, our onshore business, we're essentially done with our program there. We have a little bit of activity from nonoperated to Eagle Ford. That doesn't drive our CapEx too much. We do have a little bit of facility spending. We're doing a number of projects to get ready for our drilling activity in the Eagle Ford and in the Montney in 2024. That's kind of normal for our business. In offshore, we have quite a bit of activity picking up here in the fourth quarter with two rigs working in the St. Malo non-operated project. and our resumption of drilling OSO, as well as our ongoing development work that we highlighted at the Marmalard number three well.
Leo Mariani: Okay. That's helpful, guys. And then just -- yeah. No, I appreciate that. And just on the share buyback, obviously, you kicked it off this quarter. It was kind of great to see. Can you maybe just kind of talk a little bit about how you're sort of balancing that with debt reduction as we go forward here?
Roger Jenkins: I'll let Tom go through that, but it's our formula, Leo. We're trying to stay to the formula for the rest of the year, 75-25 split. I don't see coming off that with a little more bias towards getting the debt down at year-end is how we're working it.
Leo Mariani: Yeah, any further colour to that.
Tom Mireles: No. I think that -- I think Roger covered it. We have a stated goal of debt reduction this year. And it fits with our priorities for the year of de-levering.
Roger Jenkins: Just to be clear though, Leo, we do anticipate stock repurchase in the fourth quarter.
Leo Mariani: Okay. Great.
Roger Jenkins: …along with the conduction
Leo Mariani: I appreciate it. Thank you.
Operator: Thank you. [Operator Instructions] Your next question comes from the line of Charles Meade from Johnson Rice. Your line is open.
Charles Meade: Good morning, Roger, to you in the whole Murphy team there.
Roger Jenkins: Oh, good morning Charles, good to hear from you.
Charles Meade: Roger, you touched on Vietnam just briefly earlier in your Q&A. And I want to see if I could get you to talk a little bit more about that. Can you characterize these two exploration prospects for us? And my understanding is that that's going to be your first activity over there. So can you characterize what those prospects are like? I think you said the relatively low risk, but you put some numbers to that? And then also clarify for us that $10,000 to $15,000 BOE a day, net to you guys in -- I think it's already 2026. Does that include any risk exploration success from these two prospects? Or is that just the -- is that just lack of any moment?
Roger Jenkins: No, that is 100% just from the project. Nothing to do with exploration in any number, any forecast, anything with Murphy Oil, I appreciate that question. Vietnam it’s been a sleeping giant for us. We had it held back for a while, also held back by them. It's come to life with this approval of the field development plan, meaning they're ready to put their money in with us here, PetroVietnam. We've had these nice prospects, one of the prospects. These are great fractured sands over carbonate in a very simple geologic setting. One of the wells resembling that which is similar to how the field has laid out and there's a large stratigraphic trap that has some level of structure to it, also nearby as the room or some very good success by one of our partners. In Vietnam that recently drilled a very nice well targeting the same zone, as a very large prospect, can change our world there and make this a very 30,000, 40,000, 50,000 barrel a day business for us long-term, and we can have some exploration success. As to the risk component, it's not low-risk, but its lower risk than big sub-salt $100 million wells in the Gulf of Mexico. And you're talking about wells type cost with lower risk. And also in Vietnam, which most people are not familiar, this is the basin of Vietnam, the multiple platforms, pipelines, infrastructure, FPSOs, FSOs everywhere here. This would look like a segment of South Louisiana 30 years ago, a lot of production here in shallow water. So this is not like we're in a ranked wildcat country here. So that kind of frames what we're doing in Vietnam, Tom, unless you had follow-on to that, Charles.
Charles Meade: No, that's it. That's great detail. Thank you, Roger. And then my second question is kind of about your Murphy 2.0 and really by my modeling, it kind of -- it's obviously an achievement to get to Murphy 2.0. But for me, it looks like a rolling stop in the sense that you guys are going to be in 3.0 territory by the time you report 4Q 2023, if not on an absolute debt basis, certainly on a net debt basis. And you guys you just had a board but you guys must see the same thing. And so I'm curious if you --if you -- to what extent that you guys have discussed that with your Board and if there's -- as you roll forward 2024, you guys are going to be it's possible that you could exit the year with a zero net debt position without giving the effect to any share repurchases. So has that -- can you characterize the conversation that you're having at the Board level? And if there's any -- is it any shifts on what you guys are thinking about for 2024?
Roger Jenkins: No. Obviously, we are discussing us. We have a finance committee for our Board, where we review our modeling in great detail. We're in the middle of our budget and putting things into our new plan, like I said in my comments, overall strategy over time, there would be very similar returns. We can get to the 3.0 of next year, depending on oil price, as you know, we'll go to 50-50. I would say we just keep it down the fairway honor and the framework, get to the Murphy 3.0, 50-50. And we have -- opening up there, we can go to more returns and there could be more opportunities come our way. So we're very, very well positioned. We're also, we're still in the oil business. We're not orderly depleting our assets. We picked up two incredible assets here to do with our offshore competitive advantage on execution. The countries want us there because of that because it's important to us and we move quickly. So we have opportunities in front of us. We're doing extremely well. And with higher oil prices above 85 or so, we can move to this 3.0, as you said very quickly. We want to probably at least execute one quarter of each of the numbers before we change. But we're -- it is -- I haven't heard that comment rolling stop, but it sort of is that way, Charles, I appreciate you coining a great line for me this morning.
Charles Meade: All right. Well, thank you for the detail, Roger.
Roger Jenkins: Well, thank you and good to hear from you.
Operator: Thank you. And there are no further questions at this time. I would like to turn it back to Roger Jenkins for closing remarks.
Roger Jenkins: Thank you, everyone, for attending our call today. We appreciate we had a really good quarter,  one of the best in a long time, and we're looking forward to another one, and we'll talk to you in late January. I appreciate it. Thank you.
Operator: Thank you, presenters. And ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.